Operator: Welcome to TTEC's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] This call is being recorded at the request of TTEC. I would now like to turn the call over to Bob Belknapp, TTEC's Group Vice President, Corporate Finance. Thank you, sir, and you may begin.
Bob Belknapp: Good morning, and thank you for joining us today. TTEC is hosting this call to discuss its second quarter results for the period ended June 30, 2025. Participating on today's call are Ken Tuchman, Chairman and Chief Executive Officer of TTEC; and Kenny Wagers, Chief Financial Officer of TTEC. Yesterday, TTEC issued a press release announcing its financial results. While this call will reflect items discussed in that document, for complete information about our financial performance, we also encourage you to read our quarterly report on Form 10-Q for the period ended on June 30, 2025. Before we begin, I want to remind you that matters discussed on today's call may include forward-looking statements related to our operating performance, financial goals and business outlook, which are based on management's current beliefs and assumptions. Please note that these forward-looking statements reflect our opinions as of the date of this call, and we undertake no obligation to update this information as a result of new developments that may occur. Forward-looking statements are subject to various risks, uncertainties and other factors that could cause our actual results to differ materially from those expected and described today. I would also like to mention that before the discussions about our results of operations for the second quarter of 2025. Mr. Tuchman will make a brief statement about his decision to withdraw the preliminary proposal to take TTEC private. Other than that statement, which Mr. Tuchman is making in his individual capacity, the company will not be commenting on the take private proposal, nor will we take any questions about it. For a more detailed description of our risk factors, please review our 2024 annual report on Form 10-K. A replay of this conference call will be available on our website under the Investor Relations section. I will now turn the call over to Ken.
Kenneth D. Tuchman: Good morning and thank you for joining us today. Before we turn to our results, I wanted to say a word about the preliminary proposal I made to take the company private, and the decision announced last week to withdraw that proposal. I think it's clear to everyone on this call that I'm fully committed to TTEC and its long-term success. I founded the company. I'm its largest shareholder, and I've dedicated my entire career to TTEC. While I had hoped to be able to achieve the transaction, this turned out not to be possible on acceptable terms in current market conditions. Please note that I remain fully committed to our company, employees, customers, partners and, of course, to our investors. I look forward to great things from TTEC in the future. And as I think you'll see from the results we're announcing today, the business is headed in a positive direction. As I'm sure you will appreciate, we are solely focused on the execution of TTEC's go-forward strategy. As the discussions regarding the take private have now formally ceased, I won't have anything else to say on this topic. Now on to our results. In the second quarter of 2025, revenue was $514 million. Adjusted EBITDA was $52 million, a 12% year- over-year increase and a 140 basis point margin improvement to 10.1%. And free cash flow was $86 million, further contributing to a meaningful reduction in our borrowings. In partnership with my seasoned CX leadership team, we're making good progress on our strategic plan to return our business to its historic growth rates and overall financial strength. Across both TTEC business units, we will continue to expand our AI and analytics capabilities, diversify our CX technology partner network and attract high-quality talent, and deepen our role as the go-to CX transformation partner for clients across the globe. Agentic AI and analytics are revolutionizing our industry and creating exciting opportunities for us internally and externally for our clients. The potential for AI to simplify business processes, personalized interactions and augment human capabilities is vast. Right now, however, even the most sophisticated brands are struggling to define a clear path forward. Their challenge is not one of vision, but, readiness, organizational flexibility, strong data governance and an agile, yet secure cloud-based infrastructure are foundational for success. It takes time to reshape organizations and get these systems and processes right. Consider these recent shifts. Contrary to some CX industry reports, global consulting group, Cavell, projects a 10% increase in demand for contact center associates over the next 3 years from 15.3 million in 2025 to 16.8 million contact center associates. In addition, technology analysts from Gartner predicts that by 2027, over half of the businesses that were planning to replace customer support associates with automation we'll reconsider. Their report indicates that companies relying too heavy on AI risk failure due to unexpected cost, organizational misalignment and customer dissatisfaction. This course correction in the market underlines several realities we've always known. Rearchitecting processes is complicated. Eliminating operational silos and interconnecting systems is challenging and time consuming. Successfully integrating technologies into workflows is easier said than done. Having a modern data estate is a critical and, in most cases, is barely even nascent. And finally, people want to interact with empowered people when they need help navigating complex, emotional and highly valuable interactions. Years of preparing for AI's potential have positioned us well to guide clients through this complex and rapidly moving landscape. Increasingly, companies are looking outside their organizations for seasoned experts like us to help them implement AI-enabled programs that will reduce risk and deliver strong business outcomes. During times of disruption are stellar credentials, deep technology and analytics expertise and decades of frontline CX experience are attracting new clients and strengthening relationships with our existing ones. With our digital-first approach, we're thoughtfully deploying AI internally across our entire organization and implementing AI externally where it makes sense for our clients. Across our 2 business segments, we're designing, building, implementing and operating scalable data-driven solutions where AI and people work together to grow revenue, reduce cost and build lasting customer loyalty for our clients. Let me share how. We'll start with our CX management services through TTEC Engage. Demand for our AI-enabled services continues to grow. This quarter, we onboarded several new clients while also increasing our pipeline. Notably, several of the new wins are with established brands that are piloting outsourcing for the first time. And although these programs often launch on a modest scale, they quickly gain momentum and expand as we demonstrate meaningful results. Over the last 18 months, we've secured 15 new large enterprise clients with substantial growth potential, 9 have already expanded their business with us, including 3 have more than doubled their initial spend. Our long-standing clients continue to rely on us as they evolve, leveraging our technology expertise and strong operations. We continue to grow share of our wallet with them. As we continue to deliver exceptional results for our clients, we're being awarded work in new areas of their business. In the first half of this year alone, we have sold 150% more in these new areas for clients as compared to all of last year. Here are just a few of the many ways we're using technology to innovate with our clients. For a customer-obsessed home improvement retailer, we're applying AI-based accent neutralization technology to strengthen the customer experience by improving the clarity of communication from anywhere in the world. For a top-tier financial services client, we're helping them improve their customer experience using data analytics to prioritize the most effective channel of engagement. And for a telecom giant, we're driving growth at the top of the funnel with data-driven sales motions for their new mission-critical solution offering. AI is now integral to our operations. Automating and optimizing functions across the board. However, just like our clients, getting the most out of AI is a multiyear journey that requires diligence, flexibility and time. As we continue to refine our processes, we're seeing operational gains, new opportunities, better commercial alignment and improved results. For example, our talent acquisition team is enhancing our candidate screening process with AI to give recruiters more time to find and hire the right people with the problem-solving skills and compassion needed to build lasting customer engagement and loyalty. Our new AI-assisted Curriculum Wizards are enabling our instructional designers to dramatically improve the quality of client supply training materials with more compelling and engaging content. We are able to build learning journeys that reduce unproductive time and training classes and accelerate speed to proficiency for our associates. And our AI-enabled performance management platform, TTEC Perform, provides personalized real-time coaching. It has been deployed across numerous client programs and delivering a double-digit improvements in handle time, quality, attrition and employee engagement. Now let's turn to our CX Consulting and Technology segment. TTEC Digital where we continue to see rapid evolution in client priorities. This shift reflects a broader market trend rather than replacing core systems, clients are layering AI capabilities on to their current environments to drive targeted outcomes. These engagements are often smaller in initial scope and are faster to deploy than traditional CCaaS implementations. They are highly strategic, frequently expanding into multiphase programs and generating recurring managed service opportunities as clients seek to maintain and optimize their AI, analytics and technology investments. While this transition is creating a short-term impact on revenue due to the shift in mix in deal types, it positions us for stronger long- term performance. These AI-led engagements align with our strengths in consulting, orchestration, large-scale data models and managed services. And they will carry higher gross margins and deeper client engagement over time. Recent wins demonstrate how our portfolio of capabilities are helping clients make the leap from operating a legacy contact center to managing a dynamic AI-enabled customer interaction hub. For example, for a leading health care organization, we're designing the future member experience, integrating disparate systems and enabling modern AI capabilities. This is a multiyear partnership with strong potential for expansion. For a global financial services client, we're implementing a new customer data platform to unlock AI benefits and lower cost, leveraging our experience and knowledge of their specific infrastructure and requirements. And we just went live with a modern data estate for a large travel and hospitality brand. The unified database connects a myriad of online and offline sources to provide a complete and seamless view of the customer journey. The system enables complex customer segmentation and sophisticated offer customization and is already creating new sources of revenues for our client. Now I'd like to move on to our progress with our IP development. Oftentimes, our work uncovers unmet client needs, fueling collaboration with technology partners and development through our own proprietary software team with experience across all the major CX technologies, our full stack developers are building and deploying purpose-driven solutions across platforms. We make these proprietary technologies available in the open market through app stores and marketplaces. For example, our team just developed and completed our AI gateway solution to give companies access to powerful AI functionality with minimal risk and cost. This proprietary middleware reduces integration time and cost by up to 75% with any legacy or modern contact center platform. Early adopters are already seeing accelerated time to value risk reduction and enhanced customer experience. As the industry evolves through this period of rapid transition, every business is seeking a path forward. CX leaders are looking for expert advisers to help them build and implement their road maps with proper guardrails to protect their business and their customers. Whether clients need human associates, agentic AI or a combination of both, we're ready to help them move confidently into the future with solutions that are practical, secure and scalable. Although we're pleased with our progress, we see ample opportunity for ongoing advancement. We're continuing to focus on improving our margins by optimize operations, implementing new technology and improved process across our organization and doubling down on our data-driven approach to decision-making. Every day, we're helping build the next area of customer experience alongside our clients, partners and talented teams. I'm encouraged by the progress and excited by what lies ahead. Every organization today faces a mandate to transform now. We are ready and well positioned to help our clients lead the way. On behalf of our Board of Directors and our teams of CX engineers, architects, data analysts, trainers and frontline brand ambassadors worldwide. Thank you for your continued support. And now I'll hand the call off to Kenny.
Kenneth R. Wagers: Thank you, Ken, and good morning. I will start with a review of our second quarter 2025 financial results before providing context into our updated 2025 financial outlook. In my discussion of the second quarter financial results, reference to revenue is on a GAAP basis, while EBITDA, operating income and earnings per share are on a non-GAAP adjusted basis. A full reconciliation of our GAAP to non-GAAP results is included in the tables attached to our earnings press release. Turning to our consolidated financial results. We ended the first half of the year on a positive note with solid performance continuing in the second quarter. While our revenue declined over the prior year as forecasted, it exceeded our plan primarily due to higher-than- expected embedded base growth in our Engage segment. Our second quarter adjusted EBITDA and operating income margins were also slightly above plan in both our Engage and Digital segments. We delivered profitability improvements year-over-year, both in terms of absolute dollars and margin percentages in the second quarter and first half of the year. These results reflect the actions we have taken and continue to implement to improve our operating efficiencies and overall cost structure. Turning to our results. On a consolidated basis for the second quarter of 2025 compared to the prior year period, revenue was $514 million compared to $534 million, a decrease of 3.8%. Adjusted EBITDA was $52 million or 10.1% of revenue compared to $46 million or 8.7%. Operating income was $37 million or 7.2% of revenue compared to $30 million or 5.5%. And earnings per share was $0.22 compared to $0.14. Turning to our second quarter 2025 segment results. In our Engage segment, second quarter revenue decreased 4.3% as forecasted to $400 million over the prior year period. Operating income was $18 million or 4.6% of revenue, reflecting an increase of 26.3% or 110 basis points over the prior year. The Engage segment's second quarter financial results are in line with our full year guidance with revenue tracking higher than our expectations. This is primarily due to the expansion of existing lines of business and new lines of business within our embedded base, as Ken mentioned. The revenue carryforward from the extension of a large public sector program into the first half of 2025 is also contributing to the overperformance. We continue to focus on our profit optimization initiatives, improving our operating efficiencies on top of the cost reduction actions we took in the second half of 2024. We are seeing the results with our second consecutive quarter, reflecting year-over-year increases in both our EBITDA and operating income margin percentages despite the expected decline in revenue. The segment's implementation of AI-enabled solutions and focus on operational excellence continues to resonate with our existing clients, evidenced by the growth within our embedded base. The caliber of new logo signings within Engage continues to improve as well. Most importantly, profit optimization continues to materialize in our financial results. We are committed to balancing these initiatives with investments in our AI technologies in support of our growing embedded base and in new talent. The Engage backlog is $1.64 billion or 101% of our updated 2025 revenue guidance at the midpoint of the range, up from 99% for the same period of 2024. The Engage last 12-month revenue retention rate is 88% but reflects a 94% retention rate when adjusted for the revenue related to the financial services and public sector clients discussed in prior quarters. This compares to a revenue retention rate of 91% in the prior year. While the last 12-month retention rate is starting to improve, the second quarter on a stand-alone basis shows an inflection point as the adjusted revenue retention rate is 97%, reflecting a return to historical levels of Engage top line growth. Moving on to our Digital segment. Second quarter revenue was $114 million, a decrease of 2.3% over the prior year. Operating income was $18 million or 16.1% of revenue, an increase of 22.8% or 330 basis points over the same period last year. Digital's second quarter 2025 year-over-year profit improvement was largely due to the onetime sale of IP software, which generated approximately $4 million of revenue at 100% profit margin. Excluding onetime resales, operating income was 12.3% in the quarter compared to 11.8% in the prior year, a 50 basis point improvement. The improved profitability was attributable to a 9% increase in professional services operating income dollars, representing a 390 basis point margin improvement despite a 3% decline in revenue. The higher income was achieved through centralized management, capacity planning and increased utilization. Recurring revenue declined 2.3% primarily due to a decrease in managed services from cloud migrations. The second quarter revenue decline in recurring and professional services was partially offset by a 3.8% increase in onetime resales, driven primarily by the previously mentioned IP software sale. Although the digital revenue was slightly down compared to the prior year, we are pleased with the expansion of our CX technology partner network. We have diversified our offerings and solutions to address the market demand for AI-enabled enterprise-wide digital transformations. This will lead to long-term top line growth with higher quality engagements that drive client retention and profitability. Recurring managed service offerings represented approximately 63% of Digital's total second quarter revenue, which was flat to the same period last year. Our Digital backlog is $387 million or 83% of our 2025 revenue guidance at the midpoint of the range, slightly down from 85% for the same period last year. The Digital segment's second quarter and first half results are in line with our guidance as we continue to navigate the remix from point solutions related to contact center technology to new opportunities with our diversified hyperscaler partners. Balancing this shift, both in terms of revenue and our go-to-market strategy is critical. And thus, we continue to remain focused on efficiencies, capacity management and talent redeployment. I will now share other second quarter 2025 metrics before discussing our outlook. Free cash flow was a positive $86 million in the second quarter of 2025 compared to $35 million in the prior year. The $51 million year-over-year increase was due to an additional $43 million provided by operating cash flow and a $7 million decrease in capital expenditures. Working capital provided $45 million of the cash flow from operations improvement compared to the prior year, of which $21 million related to the collection of an aged VAT receivable. Capital expenditures were $7 million or 1.4% of revenue for the second quarter of 2025, down $7 million from $14 million or 2.7% of revenue for the second quarter of last year. With our keen focus on cash flow generation and debt reduction, we continue our deleveraging trend. As of June 30, 2025, cash was $83 million with $886 million of debt, primarily representing borrowings under our $1.2 billion revolving credit facility. The net debt position of $804 million represents a year-over-year decrease of $50 million and a decrease versus the prior quarter of $78 million. We ended the quarter with a net leverage ratio as defined under the credit facility of 3.39x, down from 3.79x at the end of the first quarter and down from a high of 4.49x at the end of the third quarter 2024. Our normalized tax rate was 43.4% in the second quarter of 2025 compared to 33.7% in the prior year. The increase is primarily due to the impact of the U.S. valuation allowance recorded against the U.S. pretax losses in the second quarter of 2024. Turning to our 2025 outlook. I will now provide some context with regards to our updated full year financial guidance. As discussed, our Engage segment's revenue is tracking higher than planned. This is primarily due to the growth in our embedded base, which demonstrates that our clients value our services and innovation as they look to us to provide solutions across new lines of business. The revenue is also impacted by the depreciation in the U.S. dollar against foreign currencies as it pertains to our revenue outlook. The Engage business, which primarily contracts in U.S. dollars, does invoice in several local currencies, which provides a natural revenue uplift as the U.S. dollar depreciates. The majority of the business, however, has a negative translation impact when converting local cost into U.S. dollars under this scenario, having a negative 6% impact on our full year Engage EBITDA guidance. As a result, we are increasing the Engage revenue guidance by $50 million, for which the foreign exchange impact represents approximately 45% of this change. Engage GAAP revenue is now $1.62 billion at the midpoint of our guidance, a decrease over the prior year of 7.3%. This raises our TTEC revenue to $2.09 billion at the midpoint of our guidance, a decrease of 5.4% compared to the prior year. We are reiterating the Engage outlook for EBITDA and operating income, noting the negative foreign exchange impact. In our Digital segment, we continue to navigate the rapidly changing market as it shifts from point solutions for contact center technology to new end-to-end hyperscaler solutions for CX that drive true transformation. We have the partner network, the talent and the in-depth knowledge to deliver in this new market, but balancing the shift is critical. With this in mind, we are intensely managing the revenue and profitability impacts of this market shift. The timing is not without risk. However, based on our first half results and our second half outlook, we are reiterating our full year digital guidance. For our second half outlook, we are forecasting a downward trend in our third quarter results versus prior year as we invest in the ramps of engaged seasonal health care volumes, which are forecasted to be higher in 2025 compared to the prior year. We expect these investments in the seasonal revenue to deliver significant year-over-year profitability growth in the fourth quarter resulting in an overall improvement in the second half of 2025 compared to 2024. For our Digital segment, we expect a modest decline in profitability for the second half of 2025 compared to 2024 as the mix of our business shifts towards hyperscaler, AI and analytics solutions. This will ultimately result in higher margin engagements, but the timing creates a short-term decline in revenue and profitability. Please reference our commentary in the Business Outlook section of our second quarter 2025 earnings press release to obtain our expectations of our updated 2025 full year guidance at the consolidated and segment level. In closing, our second quarter and first half results reflect our commitment to improving profitability, cash flow generation and debt reduction. With these results and our outlook for the second half of the year, we are confident we can deliver to our full year guidance range but remain cautious as we navigate the volatile global economic environment. As always, we remain committed to our focus on executing against our top business priorities and serving the best interest of all our stakeholders. I will now turn the call back to Bob.
Bob Belknapp: Thanks, Kenny. [Operator Instructions] Operator, you may open the line.
Operator: [Operator Instructions] Our first question comes from the line of George Sutton of Craig-Hallum.
George Frederick Sutton: As instructed, I won't ask any of the 150 questions I had about the take-private process. Instead, I will ask about the bank discussions that I believe you had started last quarter relative to the renewal that will come next year on your revolver?
Kenneth D. Tuchman: Thank you for that question. We're in active discussions as we speak, and we feel confident that we will bring this to closure in third quarter. And all is well.
George Frederick Sutton: Super. Ken, you gave an interesting accent neutralization example of one of the customers that have expanded with you. And it brings to bear the opportunity as you have really tried to move towards a bigger offshore model, it would suggest an ability to intensify that effort given a more broader effort on accent neutralization. Can you tell us how broad can that be?
Kenneth D. Tuchman: So we're utilizing the technology quite a bit. We only gave one example, but we have multiple clients taking advantage of it. And really where it benefits us is in areas where we see very, very deep pockets of highly educated talent but that also have what some Americans, Australians, Brits, et cetera, would consider to be an accent that's a bit thicker to them. And so we can neutralize that accent, and we can literally get the accent to be much more almost indigenous sounding to the country that we're serving. So we're very excited by the technology. It's fully operational. Because it's AI-based, it gets -- the more we use it, the better that it gets. And it certainly opens up more markets for us and gives us -- what we care about is where do we find the most talented people with the deepest skill set capabilities with the highest aptitude. And now we can go into markets where we know that talent exists, but where historically, we would get pushed back from clients because of lack of accent neutralization.
Operator: Our next question will be from Maggie Nolan of William Blair.
Margaret Marie Niesen Nolan: I was encouraged by some of the stats that you shared on projects or rather engagement -- sorry, excuse me, agent's growth in the industry and the comment that you had made also on the caliber of the new logo signings. And I'm wondering if you feel like clients are starting to recognize the need to move forward with some of these programs. If we've reached a bit of an inflection point here? Or is there still largely a pause in spending as they're assessing maybe how they would want to incorporate AI?
Kenneth D. Tuchman: I would say there's -- it's a great question. And so we're seeing multiple things. Number one, it's no secret that there's been a significant amount of consolidation in the space. And through that consolidation, it's not uncommon for large clients who have historically had their business distributed amongst, let's say, 4 providers to feel maybe a bit vulnerable when through the mergers, et cetera, that now they're down to 2. And so consequently, we're continuing to see a reallocation of business that we believe we're going to continue to benefit from. So that's one point. The second point is that we're able to demonstrate technology capabilities that we're confident our competitors talk about, but don't have anywhere near the credentials or the thousands upon thousands of implementations that we've done. And so we're capitalizing off of that and winning some really exciting large enterprises. That said, those large enterprises, as we -- as I stated in my script, in many cases, they're putting their foot in the water before they put their entire leg in the water, and we're very comfortable with that. And we're highly used to what we call champion challenger models. And so what I would just simply say is that the logos that we're winning have deep, deep wells of opportunity that can expand into very large clients. And so we are happy to bring these clients, onboard them, build out some technology capabilities that they're not getting from others and then through performance and execution win market share or more market share from them. To answer your question about our clients hesitating because of AI, I don't necessarily think that's what is -- what they're doing. Do I think that the overall marketplace is cautious because there is so much economic uncertainty as it relates to tariffs coming, going up, going down, et cetera. There's no question about it. There's not a GSI or a BPO or anyone that's not experiencing clients saying that they don't really feel like they've got their north -- their magnetic north or they're putting fully on the ground. And so consequently, I think what that's doing is they're still executing on new deals, but I think that they are basically making smaller commitments until they have a bit more clarity on their future. And we're seeing this everywhere in the world. And so not -- in no way is that meant to be a political statement. I just think it's a reality of where large corporations are. That said, you wouldn't know it from our stock price, but we really feel good about where the market is right now. And then the last point that I would say, and I'm sorry for waxing on as it relates to AI, is there has been so many negative articles on poorly executed AI that it absolutely is creating fear doubt and uncertainty. And so therefore, clients, I would say, just as Gartner has said, are in some ways, being very cautious about where they use AI and where they don't. We've been very clear that right now, the first stage of really taking advantage of AI is to make our people better to drive higher quality, to drive better accuracy, to get them to drive speed to proficiency, et cetera, versus trying to simply create chatbots or voice bots that entirely replace what they do. We believe at the end of the day, that humans do want to interact with humans. We also believe that all of these bad IVR transactions that we all experienced in voice jail, that will get replaced with voice bots. And that is a perfect place for -- to be able to have conversational AI, it's after taking place where you have very defined answers to questions versus the risk of hallucination. Again, we're very realistic about AI. We're incorporating it in every aspect of our business, both internally, we're applying it externally. And we think it's going to make us more profitable and, frankly, more interesting to our clients. And this is where we see a very significant opportunity for digital, both on AI as well as our analytics practice that we're expanding as we speak. So sorry for the very long-winded answer. I hope that's somewhat helpful. And if I haven't answered all of it, feel free to ask more questions.
Margaret Marie Niesen Nolan: No, that does help. And then it sounds like maybe you expect an increase in managed services as a percentage of revenue over time. Can you give a sense of the magnitude for that and the impact to the business?
Kenneth D. Tuchman: I mean what I would just simply say is that we've dramatically -- and that's not an exaggeration when I say dramatically increased our partner network. And therefore, we are in deep stead with realistically probably fivefold of partners today than we were a year ago. And consequently, the services that those companies afford us to be able to implement and integrate come with it managed service opportunities. So whether it be the work that we do with AWS, the work that we do with Azure and Microsoft, the work that we do with Google and GCP, along with a myriad of other partners that I won't bore you with all the names, all create much more opportunity for managed services. We have significantly shifted our capabilities to go far beyond providing CCaaS capabilities and all of the accoutrements that one would attach to CCaaS as more and more clients are asking us to do work that is related to their customer experience but is not necessarily tied to contact center routing of interactions, et cetera.
Operator: Our next question will be from Vincent Colicchio of Barrington Research.
Vincent Alexander Colicchio: Yes, Ken, how did your Engage offshore side of the business perform in the quarter? And should we expect more investments there?
Kenneth D. Tuchman: Well, I'll just -- I'll answer part of it, and then I'll let Kenny answer the other part. We are absolutely pushing hard on moving more and more business. And when I say moving, it's not the embedded base that's already onshore. It's acquiring net new business and installing that business offshore. But Kenny, do you want to answer that from a...
Kenneth R. Wagers: Yes. Vince, as we talked in prior quarters, Q2 is no different. First half of the year is no different. The majority of the pipeline, the majority of our sales motion is on offshoring. It's where the clients want to be. back to the earlier question on the call with our accent neutralization with ADDI and what we're doing the opportunity for us to continue to expand offshore is square into our diversification strategy. And again, from a capital -- CapEx standpoint, from the geographies that we've laid down over the last 24 months, we're seeing very good expansion in South Africa, in Egypt, Eastern Europe, and Lat Am. And so it is John Abou and the Engage team, I don't know how much is push versus pull, but the customers want to go there. We're set up to go there, and that's where we are seeing our growth. Now again, going into Q3 and Q4, we're going to have our normal seasonality with all of our U.S.-based health care clients. But for sure, the go-to-market motion is focused on those geographies because back to Ken's point, it's where we're seeing the best agent talent. It's where we're seeing the best opportunity to grow the business profitably, and it's also where the customers want to be. So our offshore mix did improve quarter-over-quarter as we are still trending towards 37% to 39% for the year, and we're going to continue to execute on that strategy going forward.
Vincent Alexander Colicchio: And second question, what verticals at Engage are you feeling best about for the second half?
Kenneth D. Tuchman: That's a great question. I mean I think we're seeing opportunity for sure, across financial services, health care, technology, travel. I would say that those are the ones that immediately come to mind, I'm sure that I'm leaving out some of the others that were -- excuse me, streaming, media content. We're seeing real opportunity in that area as well as gaining traction. That's a great question. You caught me a little flat-footed. I should have had a pre answer to that, so I apologize.
Kenneth R. Wagers: No, look, Ken, to the point, it's back to diversification, right? This is what we talk about, customer diversification, geo diversification. And then this is what John Abou, and again, a lot of our new leaders on the portfolio side that we brought in over the last year have expertise in these areas. And so to Ken's point, travel, streaming, media, those are some of the big logo wins with these great brands that we've had over the last 6 to 12 months. They're bringing not only diversification into those industries, but also, they're the ones with the geo diversification for us as well. So we're very happy with the diversification into these fastest, faster-growing verticals for our business in Engage for sure. And that's a big part of what John and the go-to-market team were focused on.
Kenneth D. Tuchman: One of the reasons why I hesitated to give you an answer is because on the Digital side, it's all over the board. It's everywhere. We're doing genomics projects now. We're doing projects on the payer side, the provider side, the pharmaceutical side, et cetera. And so since Engage is a higher percentage of the revenue, that's what I was responding to. But as it relates to Digital, we're seeing opportunity literally in every single sector because they're just -- frankly, there's so many companies that are trying to modernize right now whether it be getting to the cloud or taking advantage of what you can do in the cloud, especially in the area of AI and analytics.
Operator: Our last question will be from Jonathan Lee of Guggenheim Securities.
Yu Wai Lee: How should we think about blended pricing in the rate cards you're seeing across your new wins, particularly as clients adopt new technologies that may be deflationary in nature?
Kenneth D. Tuchman: Well, I sort of see that as 2 questions. But -- so first of all, we like blended pricing. That said, not every client is willing to do blended pricing, and therefore, they want it broken out separately from a Digital action as well as an Engage action. But we don't necessarily see it deflationary. As a matter of fact, kind of see the opposite. We see that the more technology that we apply, the more business that they allocate, these are very large companies, Fortune 500, Fortune 1000 companies. And so the fact of the matter is, in almost all cases, we have a fraction of the business that they have. So it doesn't take much for them to move the needle as we perform and for them to allocate more and more business, whether it be allocating Digital business from the GSIs that they've historically used or whether it be allocating Engage business from whoever they're currently with or from their captives. And we're still seeing a very nice amount of business coming from companies that traditionally have not outsourced whatsoever, which are some of our favorite types of clients to work on because they have so much business that they are looking to ultimately move outside of their captive. So at least at this point in time, we don't see it deflationary unless I'm misunderstanding what you mean by deflationary.
Yu Wai Lee: The comment around deflationary was more on a rate card perspective and blended pricing, in our view, is a function of onshore versus offshore blended mix as opposed to Digital and Engage. But I appreciate that color, Ken. As a follow-up, look, it's good to hear about the progress around accent neutralization. Outside of regulated industries, can you help potentially size in the risk around customers shifting work offshore in an effort to use accent neutralization capabilities?
Kenneth D. Tuchman: I really can't. I mean, I think that's -- for me, that's almost like asking how high is high. What I would just simply say is that the labor market in the United States continues to be tight. And more and more clients are realizing that they can obtain quality that is as good or better and achieve the quantities that they need by being in nearshore and offshore environments. The regulated work without a doubt, cannot move and is not going to move offshore. And as you know, we do a fair amount in the public sector space, the federal space, et cetera. But at the end of the day, unfortunately, I don't have a way of saying that. Look, I want to just -- once again, I want to put this in perspective. This is a very large TAM on both the Digital side and the Engage side. We're a few billion-dollar company. We don't need very much of that TAM to be a much larger company than we are today. So the fact of the matter is, is that there is hundreds of billions of dollars' worth of business out there, and we're simply chipping away at the overall scale of the marketplace which is why we feel very, very confident that we can get this business back to the historical growth rates that we've achieved in the past, if not higher, as well as back to our historical margins. And that's what our focus is right now is basically recreating what we had in the past. And we feel like we're on the right path and the right track right now.
Operator: Thank you for your questions. That is all the time we have today. This concludes TTEC's Second Quarter 2025 Earnings Conference Call. You may disconnect at this time.